Operator: Good morning. My name is Lori, and I will be your conference operator. At this time, I would like to welcome everyone to the International Paper Third Quarter 2011 Earnings Conference Call. [Operator Instructions] I will now turn the call over to Glenn Landau, Vice President, Investor Relations. Please go ahead, sir.
Glenn Landau: Thanks, Laurie, and good morning, and thank you for joining International Paper's third quarter earnings conference call. Our key speakers this morning are John Faraci, Chairman and Chief Executive Officer; and Tim Nicholls, Senior Vice President and Chief Financial Officer. During this call, as always, we will make forward-looking statements that are subject to risks and uncertainties which are outlined on Slide 2 of our presentation. We will also present certain non-US GAAP financial information and a reconciliation of those figures to U.S. GAAP financial measures will be available on our website. Our website also contains copies of the third quarter 2011 earnings press release and today's presentation slides to follow. I will now turn the call over to John Faraci.
John V. Faraci: Thanks, Glenn, and good morning, everybody. Yes, let me just start by saying we're pretty pleased, very pleased with our third quarter results. I think the $0.92 a share reflects the global balance of International Paper. Our focus businesses continue to produce strong earnings and free cash flow. Basically, it was steady volumes and a weak economic environment, stable pricing, outstanding operations, very strong contributions from our joint venture in Russia. We also set input cost escalation and achieved costs of capital returns. And if you think about our earnings, they're substantially up from the second quarter. And adjusting the third quarter 2010 for a land sale, they were up 11% relative to the third quarter of last year. This next chart here just shows what I mean about balance in the global portfolio. We had strong contributions from both our Paper and Packaging businesses. And as you can see, 30% of our operating earnings are coming from the platforms we have outside North America that have a lot of volume revenue and earnings growth in them. EBITDA margins improved across all of our global manufacturing businesses, up strongly 300 basis points from where they were in 2010. And again, that just sets the stage for -- I think underscores International Paper's ability to perform in a challenging economic environment. So with that, it's just a brief introduction. I'll turn it over to Tim to go through the businesses.
Timothy S. Nicholls: Okay. Thanks, John, and good morning, everyone. I'm on Slide 7, and I wanted to start out by saying that we had, as John said, really strong results in the quarter in what's been a difficult environment. The third quarter of last year has been adjusted for the land sale. You can see revenue is up nearly 2% versus same time last year. Margins continue to remain very solid and cash has been strong, up from the second quarter and very close to the third quarter of last year, even with $130 million more in capital investment in the third quarter of this year than last year. Cash balance grew from the end of last quarter this quarter by another $300 million. If you look at the second quarter versus third quarter earnings performance, a strong quarter in a tough environment, price and volume basically flat despite the weak backdrop. Volume was weaker earlier in the quarter and then showed some improvement as we moved toward the end of the quarter. Operations continued to improve after a very strong performance in the second quarter, so the facilities are running extremely well at the moment. We did have a lighter maintenance outage schedule but we executed it extremely well. And the tax rate was slightly lower because of a couple of discrete items in the quarter that won't repeat in the fourth quarter. Just turning to our year-over-year performance, and I think this is a real story of improvement. If you take out the land sales from last year, $0.83 versus the $0.92 that John mentioned, price offset softer volume. And really, as I mentioned on the operations, operations and cost management have completely offset the higher input costs that we faced year-over-year. Lower interest and taxes, along with another quarter of really strong results from Ilim added headroom. If you look at the next slide, I think what's even more impressive are the year-to-date results from continuing operations: top line growth of 7%, EBIT growth up 56%, a doubling of EPS and a 50% improvement in cash provided by operations. And if you look at the cash balancing, again, these numbers from last year have been adjusted for land sales, but $1.2 billion in cash last year and up to $2.7 billion this year, 125% improvement. Of course, the building of cash, in part, because we're looking to bring cash to the Temple close. So all of that, what it's meant is 5 quarters now of really strong improvement in terms of earnings, starting in the third quarter of last year. And we've put together 5 quarters that are really in the cost of capital zone and feel good about where we are as we go into the fourth quarter and 2012. So now let me turn back to the quarter itself. Input costs, the increases have moderated. In most categories, we did see the exception in OCC during the quarter, but in most other categories, chemicals or energies, we saw smaller increases than we've seen in previous quarters and that was not only here in North America but in other parts of the world. But because of the OCC, nearly 2/3 of the increase in the quarter was felt in Industrial Packaging. So now, I'll turn to the segments and start with Industrial Packaging. Even with that increase, it posted another strong quarter with EBIT moving from $269 million to $301 million in the quarter. North American prices were relatively stable in the quarter. We did see a little bit of erosion in export Containerboard. Volume was down slightly, and I think it is a slight decrease, and it was roughly split half in North America where we saw a slight decrease in box shipments and a slight decrease in domestic Containerboard shipments. And the other half was in Europe where the third quarter is seasonally a weaker quarter in Europe. we've seen a little bit of softness in the Industrial segment, but fruit and vegetable continues to perform well. The third quarter's earnings were favorably impacted by the lower mill outage scheduled. But as I mentioned, we executed that very well. And it was also impacted by the avoidance of the Vicksburg charge that we had in the second quarter, although I would say that there's still some small residual supply-chain cost impacts as we tried to recover from that downtime and get product back in the right places. And then as I mentioned, the OCC costs were up, and that was about $14 million of the negative impact in input costs. So another quarter, IPG posted the highest margin in the industry again this quarter, and it has for the entire year, as well as 8 out of the last 11 quarters. On a sequential basis, quarter-on-quarter, we added 200 basis points by executing well and taking advantage of the lighter maintenance schedule, and the spread between competition in the quarter was 280 basis points. That's the largest we've had in over 2 years. Turning to Consumer. Consumer Packaging had another very good quarter, a string of quarters that they're putting together now. On steady volume, improved price realizations associated with the pass-through of previous announcements. Operational performance was down slightly in the quarter, but again, off of a very strong second quarter, so they continue to perform at a very high level. And this business also benefited from the lighter maintenance outage schedule. If you turn the slide to the next one, just to highlight where some of this operating performance is coming from, it's really being driven in significant part by outstanding manufacturing and supply-chain performance. You can see that this year, we've generated $30 million of cash cost savings. That's roughly $20 a ton in the manufacturing operations, and it's coming from improved reliability and energy usage, better uptime availability, and basically, just running a more consistent manufacturing operation. The supply chain improvements are really -- all the metrics are moving in the right direction as you can see on the slide. And the result is we're generating nearly $1 million a month of savings. So the business is operating very well, the key levers that it can control. What that's resulted in is business results that are continuing to be strong and consistent, and in the cost of capital zone now for the last 5 quarters. And year-to-date the business has earned 75% more in the first 3 quarters of this year than in all of 2012. Additionally, our North American Coated Paperboard business is realizing the benefits on the commercial side from our Foodservice business. It's not a business that we highlight very often, but just sharing some history here, if you look at the next slide, Foodservice basically makes paper cups and food containers. And the business sources roughly 100% of its board from the North American business. We saw a significant decrease in demand during the economic crisis, but this year, the business is on pace to return to prerecession volume levels. And it's doing it, really, on innovative products like the ecotainer and the Hold&Go hot beverage cup. So with those products, margins are up. Year-to-date, margins are up 250 basis points from the low of 2008, it's up 60 basis points year-over-year, and now higher than what we had before the economic crisis. Printing papers, a great quarter. We had exceptionally good quarter in North America. Our operations in Europe were basically flat quarter-on-quarter. Brazil was roughly flat quarter-on-quarter, mostly because of seasonality and how the seasons slow in those 2 businesses. North America really lifted results by posting strong manufacturing operations. Now turn to xpedx. And while year-over-year revenue is down, clearly, we saw xpedx bounce back in the quarter, nearly doubling its earnings on a seasonal demand lift and good volumes around printing and packaging quarter-on-quarter. And if you look at the next slide, you'll see really we are getting some help from the market, but we're also seeing the beginnings of the benefits from the strategy implementation that Mary took you through a quarter or so ago. Average daily in shipping rates on printing were up 8% on strong seasonal rebound in the publishing grades. We've also been managing our costs effectively and have good realization of S&A costs and headcount reductions, with headcount being down 7% year-to-date. So we think the strategy is starting to take hold. And as we promised, Mary will be back at the end of the fourth quarter to update you on the strategy and how the implementation is going. Now turning to Ilim. Another strong quarter from the Ilim Joint Venture. And just as a reminder, it's their second quarter, our third quarter as we continue to report on the lag. So in their second quarter, prices were higher for both pulp and Containerboard. We did see lower volumes and we had higher outage costs than input costs in the quarter. We did receive another dividend in the quarter. It's our second dividend from the joint venture this year, and it brings our total cumulative dividends to $234 million since the beginnings of the joint venture. So we've roughly recovered a little bit more than 1/3 of the original investment through dividends. One item that I would note about what will be our fourth quarter, the joint venture's third quarter, we did see a significant weakening in the quarter of the ruble. And because the joint venture has dollar denominated debt, it had to mark that to market. And so we'll see about a $50 million charge in their third quarter, our fourth quarter reported. It's a non-cash charge and we really like the movement in the ruble as it weakens because it makes the business more competitive and enhances margins over time. Just an update on capital expansion. A couple of pictures here. One from the Bratsk Mill where we're putting in the new pulp line, and see the digester coming out of the ground there. And right now, we're still on track for a startup in 2012. Again, as a reminder, this is about a $700 million project, so its projected return is above 20%. The other picture you see is from the Koryazhma Mill and it's for uncoated freesheet capacity. Although we will also have an opportunity to become the first producer of coated paper in Russia by putting, installing a coder at the end of the line. This also is scheduled for 2012 startup. And again, nearly $300 million in capital being invested with a greater than 20% return. So we've talked about this for a few quarters now. I thought it'd be interesting for people to see that there's structure coming out of the ground at this point. So just summarizing third quarter, I think John covered this is at the beginning, but we do feel very good about a very strong quarter in the third quarter. The global balance is paying off and will continue to pay off as we go through the balance of this year and into next year. Volumes pricing steady, we continue to operate our facilities extremely well and manage costs tightly. The strong contribution from Ilim that I mentioned will decrease in the fourth quarter because of the non-cash currency charge, but in terms of their operating performance, they continue to operate very well. So again, 5 quarters now in the cost of capital zone and we feel good about where we are. Even though inputs are up, we're managing so far to offset them with our cost management and operating capabilities. And if you look at the last slide, just showing you ROI. So far year-to-date we are at 8%. In the quarter, we are actually over 9%. So we feel very good about posting a cost of capital results for 2011. With that, I'll turn it back over to John for the outlook.
John V. Faraci: Okay. Thanks, Tim. I'm on Page 26 for those of you who are following along with the slides. The fourth quarter outlook, and what this says when you look at it is volume is going to be seasonally slower. It always is as we get into the fourth quarter. We've got more maintenance outages. More of the same in terms of the overall economic environment. Pricing looks to be stable with the exception of lower pulp prices, which had been occurring over the last several quarters. As Tim said, we've got the currency hit of $55 million because of the 12% weakening of the ruble. We're also going to start incur some start up costs as we get ready to complete the project in Franklin, Virginia, which is going to convert that mill into a pulp line. But I think, more importantly, looking beyond the normal seasonal slowdown in the fourth quarter, I'm very positive that International Paper going into 2012 for a number of reasons. We've got India, which Tom Kadien we'll talk about in a minute. That is coming online. We've got major investments in Russia that Tim talked about. And remember, those are being financed off the Ilim balance sheet, not by International Paper but by the joint venture that will begin to contribute to results toward the end of next year. And we've got the, importantly, Temple coming on either late this year, early next year, which is going to significantly contribute to our ability to further take costs out of our important North American Industrial Packaging business. So all in, well the fourth quarter is going to be the usual kind of fourth quarter, and the economic environment is more the same. We're very positive at thinking about International Paper as we end this year and go into next year. So Tom Kadien, do you want to give everybody an update in India?
Thomas Gustave Kadien: Sure, John, thanks. We closed on our transaction on October 14, and we're now owner of 75% of the shares of Andhra paper company. We had day-one activities with employees at both mills, with government officials, with over 200 of the tree farmers that supplies fiber to the mill, and reactions have been really good thus far. We're in the process of establishing governance over the company. We have a team of IP folks on the ground in Hyderabad since July, really, led by Paul Brown, who's one of our most experienced global executives. We have integration plans that are at full tilt right now in finance and capital buildout plans, manufacturing excellence, as well as IT, forestry, environment health, safety and compliance. In their most recent quarter, or last quarter, APPM had a good quarter. Revenue is growing 10%, and as we look forward to '12, we think we're looking for double-digit increases in tons, earnings, and we feel like we've got a lot of runway in front of us. Some of you have asked Glenn about the dispute, I guess, over the non-compete fee and $25 million that's held in escrow right now. There is a date set of November 16 with the Securities Appellate Tribunal that'll make that decision. And again, our advisors think that we are on strong ground and it'll go in our favor. That said, in India, nothing happens quite as scheduled. So we're hoping it comes off on November 16. And then I guess the last thing, we're still evaluating when we're going to report out on results and how we can sync that up. And you'll hear more about that on future calls.
John V. Faraci: Okay. Thanks, Tom. Let me just give you a quick update on where we are with Temple. We continued to move forward to a closing date. We think that it's likely to be towards the end of the year or early in 2012. Two gates remain, regulatory approval and a final vote by Temple shareowners. And they've refiled their proxy based on the comments they get back from the initial filing. Our internal integration steering teams are working on postclosing plans. And with the leadership and management of this integration are an experienced and capable bunch of IT people, they know what to do and we're getting good cooperation from Temple. So this chart just shows you on the top the regulatory timeframe and on the bottom, the merger timeframe. Before we open up to your questions, I'd just like to make a couple of comments on the people moves we announced this week. We have a very strong and deep and [ph] capable management team at International Paper. And I think our results over the last several years, going through the Transformation Plan, coming out of it, managing through the downturn and now the slow recovery demonstrates that. These moves are really the result of a lot of discussion, a lot of thought on my part, and making them now gets us ready for 2012 and beyond. So I've got absolute confidence that going forward, what you're going to see from International Paper is IP-style execution and IP-style results. So with that, why don't we just open it up for questions?
Glenn Landau: Okay, John. Operator, please begin the question-and-answer session.
Operator: [Operator Instructions] Your first question comes from the line of Gail Glazerman of UBS.
Gail S. Glazerman - UBS Investment Bank, Research Division: I was a little curious about the comments about demand actually getting stronger towards the end of the quarter. That's a little bit in contrast what we've heard from some other companies. I was just wondering if you could give a little bit more color on the demand environment? And also maybe specifically, touch on the exports on the Containerboard front?
John V. Faraci: Carol, you want to comment on that?
Carol L. Roberts: Yes, Gail, and I guess stronger, it's all around the expectations of what you're expecting them to be. And so I think what I would say is boxed demand continues to move sideways. And relative to some of the headlines and the bad news you read, that's actually pretty good news. So I feel like boxed demand's pretty stable and that continued, really, through the quarter and into October for us.
John V. Faraci: How's October looking?
Carol L. Roberts: October's looking okay, relative to the -- well, we're almost done the month. Compared to last year, it's looking reasonable. And sequentially, from September, it's down slightly but you would expect that seasonally. So October box demand is continuing to hold, and I feel pretty good about that. Relative to exports, the export market has got a combination of 2 things going on. In the export market, I mean, there has been some slowdown in boxed demand in some of these markets. That's combined with the pipe for exports. It's kind of along pipe, so orders get placed and it takes 2, 3 months for them to get there. So that, combined with some extra supply that's hitting those markets, has caused a little deterioration in pricing, but I think that's just a temporary supply chain activity and I don't see any real decline in demand in the export markets through time.
John V. Faraci: Mark, would you make a comment on Printing Papers?
Mark Stephan Sutton: Yes, I'd be happy to. So for North American Printing Papers, in the third quarter, we saw demand relatively stable. The published data says the market's down a little over 3% year-over-year. But the combination of some capacity shuts and some temporary interruptions that occurred early in the year. With exports up and imports down, it's been pretty well imbalanced.
John V. Faraci: I guess, Gail, overall, we don't see -- things definitely in the second half of the year got a little weaker relative to the first half from a macro standpoint, and that showed up in our businesses. But from here, it just seems like more of the same.
Gail S. Glazerman - UBS Investment Bank, Research Division: Okay. Mark, can you talk a little bit about on kind of appreciated [ph] pricing? There's been an awful lot of noise in some of the trade press, and it doesn't seem to be showing up in your numbers, and I'm just wondering if you're experiencing any of the weaknesses that's being reported?
Mark Stephan Sutton: Yes. We have seen a pretty stable pricing environment. Pricing announcements went out earlier in the year, and depending on the grade, the channel and the customer, there's all kinds of different realizations schedules. But we've seen pretty stable pricing on the paper side.
Gail S. Glazerman - UBS Investment Bank, Research Division: Okay. And just one last question. Can you talk a little bit about interest expense? You continue to be guiding towards the pickup, and it's not showing through. Has there been something unusual going on this year? Is there any real reason to think it is going to pick up? And maybe also, can you just give an update on potential financing costs just associated with the Temple deal?
Thomas Gustave Kadien: Yes. I mean, I'll start there. We've talked about it for a couple of quarters now. It moves around. But with 10-year money, it looks like it's roughly 5.3% to 5.5%, and 30 years probably going to be 6.7%, 6.8% to 7% but it's so volatile right now, it's changing day-to-day. And we have seen base rates move up a little bit, of course, and credit spreads tightening a little bit. So on interest expense, we did benefit a little bit. We were able to put some swaps on and we saw a little bit of benefit from our floating debt. But you've seen 3 quarters now, I don't expect it to be dramatically different in the fourth.
Operator: Your next question comes from the line of Mark Connelly of CLSA.
Mark W. Connelly - Credit Agricole Securities (USA) Inc., Research Division: Just 2 things. Ilim has actually been in the news quite a bit lately over in Russia, and recently they've been highlighting their Containerboard performance. You've talked about Russia as an attractive place to potentially expand Containerboard to. I'm curious if that's still your opinion? That's the first question. And second question, is there anything changing in your outlook for capital spending x Temple as you start thinking about 2012 in this new economic environment?
John V. Faraci: Well, we like Containerboard in Russia. In Siberia, we're going to make less containerboard and make more pulp. That's what the Bratsk expansion is all about. But we continue to make containerboard in Kotlas and the Russian packaging market is growing. So that's a business that you'll see us continue to try to take advantage of our low cost position in Russia. On the capital side, I think we've outlined what our capital spending plans over the site will be, about $1 billion a year. We've been well under that for a couple of years. We're likely to be able to over that as we go into 2012, because we've got the paper machine in China that we're building. But roughly, over the 5-year period we talked about a couple of years ago, our capital spending when we get to the end of the day will still be about $1 billion a year. But we'll be a little bit over that next year.
Mark W. Connelly - Credit Agricole Securities (USA) Inc., Research Division: Okay. So you're not pulling back any of your spending plans at this point given economics?
John V. Faraci: No. I mean, our spending plans, we're generating a lot of cash, our spending plans in North America are aimed at taking costs out of the system. And very selectively, around the world, we're adding capacity or modernizing capacity where markets are growing. And it's generating a lot of cash and we're going to use it in a balanced away.
Operator: Your next question comes from the line of Stephen Atkinson of Bank of Montréal.
Stephen Atkinson - BMO Capital Markets Canada: First of all, really wanted to thank Tim for all his time spent. It was much appreciated. In terms of the -- what I was looking at, in terms of China where I'm reading about slowdowns and so on, can you talk about where you're at in terms of your Bleached Board business and your box converting business?
John V. Faraci: Tom, do you want to comment on China?
Thomas Gustave Kadien: Sure. Steve, we have seen a slowdown in China, from 10% growth to 9% growth or 8% growth. The box business has slowed down but we still -- we're growing our box business. I think in the third quarter we were up 4% or 5% on volume year-over-year. And there's a lot of price on that year-over-year as well. And in our joint venture with Sun on Coated Paperboard, we really haven't seen a slowdown manifest itself in volumes at all. There is some pricing pressure because of the pulp prices that are coming down in the market, and we're nonintegrated and that kind of rattles around the market. But we remain fully sold-out on the coated board side. And we're actually having a very good year. We've got cost of capital returns so far year-to-date. Our new machine were under construction, as John said, and we expect to start that up in the fourth quarter next year.
John V. Faraci: It's interesting, people talk about slowdown in China. It is slowing, but 8% growth on a $5 trillion economy is the same as 10% growth on a $4 trillion economy. So I think we need to remember that the Chinese economy has been growing at a very large rate. The economy is getting bigger so the aggregate growth in GDP is still significant, which is what we're seeing.
Stephen Atkinson - BMO Capital Markets Canada: Okay. And in terms of India, I know you're just starting. Are you able to talk about the paper business in India?
Thomas Gustave Kadien: Sure. The Andhra Pradesh is an uncoated freesheet company. On the slide you see the Rajahmundry mill is integrated. And then the other mill, the coastal mill, has recycled lines and makes recycled papers. The market over there has been growing 10% to 15%, probably cut-sized, it's growing at 15% a year. We think that we can continue to grow with that market. It's a huge country, 1.2 billion people. The government's committed to educating folks and a lot of them don't have access to electricity. So we think the uncoated freesheet future is very good over there, and we've got a great position with the foreign forestry program in the state of Andhra Pradesh, where most of the fiber in the country lies. So we're pretty bullish about that, but it's also -- we're 2 weeks into this, so we have a lot of work to go. But it's a great market with, I think, a strong future.
John V. Faraci: Yes, we look at India from a paper and packaging standpoint, it's probably where China was 10 to 15 years ago. And one of the really interesting things about Andhra Pradesh is India, like China, is going to be a net fiber importer, probably for as far as we can see. But Andhra Pradesh Paper's got not the only but one of the few successful foreign forestry programs, which gives us a real advantage over import of pulp. And as we build out that program, we'll be able to take advantage of that.
Stephen Atkinson - BMO Capital Markets Canada: Okay. So I expect in the near term, you're going to optimize the existing production and that's why you are able to get a double-digit growth in production and then down the road, work on, shall we say, the integration?
Thomas Gustave Kadien: Yes, that's right. The market's growing double digits. So we certainly think we can optimize the existing manufacturing operations. There's a lot of talented folks over there, but they're not quite sure what excellence looks like in manufacturing, and we're pretty confident we can show them.
Operator: Your next question comes from the line of George Staphos of Bank of America Merrill Lynch.
George L. Staphos - BofA Merrill Lynch, Research Division: A couple of questions here. First, you mentioned that the mills ran well and certainly the operating performance was better than we were forecasting. Congratulations on that. You are taking more maintenance downtime this quarter. I don't know if you have a beat on that yet, but so far how is it progressing? Any unforeseen issues? Or are things progressing fairly smoothly there?
John V. Faraci: Well, I'd say overall, outage execution continues to be very good. And International Paper's got over 30 mills around the world, and we intensely plan for these outages. We track the costs, the time we're down, the work to get completed and the ramp-up. And we spend close to $400 million in maintenance outages a year. So a 10% shortfall, a 10% improvement on getting the work done in the time and at the cost level makes a big difference.
George L. Staphos - BofA Merrill Lynch, Research Division: And John, aside from the planning and maybe this isn't the reason, but what do you think IP does differently than other companies, if anything at all, in terms of planning in the maintenance outages?
John V. Faraci: We invest in technologies and engineering, we call it the improve organization. And as we've brought some other paper and packaging companies into IP, most of them have what we call a run organization. They have people that run the mills and they do that very well to the best of their abilities. We also think it makes sense to spend some money, and we'll make more money by having resources that really go around the world with just -- some are in India right now and are already helping, as Tom said, on Andhra Paper that are early subject matter experts and can work on the improved side of the business, as well as the run side. So when you put those 2 together, a capability to run very well, but also an experience and people that can plan for improvement, I think you get the best of both worlds and something that International Paper, frankly, does better than a lot, if not all of our competitors because we invest in it.
George L. Staphos - BofA Merrill Lynch, Research Division: Two last questions. Again, the on same theme, you've done a wonderful job over the last number of years in improving performance in uncoated freesheet and the Printing-Writing Papers segment overall. Obviously, demand has been a headwind at times. We've talked about that in our research. Do you feel that if you have to manage the manufacturing footprint yet again at some point in the next few years, that paper machine or mill might be the straw that alters the camel's back and perhaps leads to a lower profit per ton on a going forward basis, because whatever logistical or other issue that would arise from that? Or do you feel pretty comfortable about being able to manage the capacity, and at the same time, managing the profitability trend where it is right now?
Mark Stephan Sutton: This is Mark. That's a tough question to answer, obviously, because you really are speculating about what you might do in the future. But I think at a high-level, we found a way to change our footprint in the past where in some cases, costs temporarily go up. And using our supply-chain tools and some other operating tactics, we've been able to mitigate a lot of that. And I feel like we can probably do that again. Our mills are where they are, and our customers are where they are. And there's not a dramatic geographic change that would happen if we had to take additional capacity out.
George L. Staphos - BofA Merrill Lynch, Research Division: Okay, last question. On the mills -- or let me back up. In Containerboard in North America, in particular, where do you feel you have more opportunity to improve returns from here, on the mill side or on the converting side?
Carol L. Roberts: Yes. George, this is Carol. I think there's opportunity on both sides of that business. And the mills, the key to getting superior results is you've got to have a low-cost system for a competitive advantage. I mean, you can't just be low cost but you have to be lower, and so we continually work. And the great news for us is we've got a good fleet of mills with options to make it better. And I'm very hopeful, post Temple-Inland we'll have even more opportunities there. That said, we sell boxes and the box business is very important. In the box business, you've to be good. My sports analogy's both sides of the ball. You've got to have low-cost, box plants that do whatever they're going to do well. And so we call that competitive and profitable box. So you've got to have these facilities that do the job well effectively, better than the competition, but at the same time you've got to sell it effectively. And that means you're getting paid for the value you bring. So we really believe there's opportunity on both sides, and clearly we're excited after Temple-Inland, we'll have more opportunity to drive more cost out of the business and make it even stronger.
John V. Faraci: Yes. I would just add, there's another area where we've got a lot of runway that frankly our competition doesn't have because they don't have the Temple opportunity, and that's on the procurement side. OCC, we've gotten really good at OCC procurement because Weyerhaeuser bought us the capability we didn't have. We already wood fiber opportunities with Temple. And then again on transportation, we've got a huge logistics system shipping containing containerboard to box plants and boxes to customers. We've got a lot of savings out of Weyerhaeuser and over time, we'll reload that system and we'll flush out more supply-chain savings as well.
Operator: Your next question comes from the line of Anthony Pettinari of Citi.
Anthony Pettinari - Citigroup Inc, Research Division: On the uncoated freesheet side, I had a question on the Brazilian market. You've seen some strengthening in the real, which I guess makes the market more attractive for importers and you saw some domestic price erosion in the quarter. And I think some local producers have talked about this year maybe being a tougher comp year because, I guess, they had an election last year. I was wondering if you could just kind of give us some color on the current state of the market in Brazil and sort of what you're seeing in October?
Mark Stephan Sutton: Anthony, this is Mark. Yes, I think your summary is pretty accurate. The market is actually up demand-wise in a decent way. Cut-sized much better than offset. However, given the currency changes and just the sort of global price levels, the market has attracted more imports and that's eaten up some of the growth. So the local producers aren't enjoying all of the growth that they might have had a couple of years ago. But I think the market's still very healthy and strong, and we view it very positively. And we are looking at a fourth quarter that's going to be what we expect seasonally. So far, I think we're pretty pleased with the overall development. It's naive to think a market that's growing like that is never going to attract an import, so we try to plan for that in our thinking.
Timothy S. Nicholls: We did see currency move in our direction during the quarter, Anthony. I mean, if memory serves, roughly around the beginning of August, the real was trading in the mid $1.50s and it weakened almost all the way to $1.90 before carving some back. So that was some help.
Anthony Pettinari - Citigroup Inc, Research Division: Right, you got some movement that way.
John V. Faraci: Our synergy in Brazil is not just a Brazilian one, it's a regional one. I mean, we really have a great footprint in Brazil, but we can serve the region more cost effectively than anybody else in the region can. So if you look at Brazil by far and ways, the biggest market in the region, obviously. But our strategy down there is to build a leading position in all of the markets and supply those markets out of Brazil. And if you think about the World Cup being in Brazil and the Olympics being in Brazil, there's going to be a lot of activity over and above elections for the next several years.
Anthony Pettinari - Citigroup Inc, Research Division: Yes. Yes, that's very helpful. And then maybe switching gears and following up on Mark's question on Ilim, does it make sense for Bratsk to maybe expand its footprint into fluff and sell fluff into China? And maybe what are the potentials there over the near midterm?
John V. Faraci: This is a trial that Ilim is experimenting with. I'd say we're a long way from having a commercial operation of fluff pulp in that part of the world. If we end up there, that'll be a good outcome, because we'll be right on the doorstep of the biggest tissue market in the world. So that'll be a good outcome for International Paper. But I'd say it's really early days, and if we can make good quality fluff at large, that will be a real breakthrough.
Anthony Pettinari - Citigroup Inc, Research Division: So that's something that would be maybe years away?
John V. Faraci: Yes, that's down the road.
Operator: Our next question comes from the line of Chip Dillon of Vertical Research Partners.
Chip A. Dillon: When you look at the situation in some of the emerging markets, I mean China for one, we've heard about one of the big board producers, and I know you've got a big presence with the SCA box plants deferring some of their capacity expansions. We're also hearing rumblings in Latin America that some of the pulp projects might be pushed out, too, all because of financial strains. And without naming names, are your people on the ground getting more evidence that some of the board in China and pulp in Latin American capacity might be pushed out or even postponed indefinitely?
John V. Faraci: Well, let me just make an overall comment and then Tom Kadien can chime in on China. I think as global growth slows, the stretching out of capacity additions is a logical thing for companies to do, especially ones that had capacity plans in excess of market growth. So if you remember a number of years ago, when all this pulp capacity is getting out in Latin America and everybody was worried about where it was going to go. And China growing at the rate it is, having a fiber deficit, basically took most of that capacity up in a shorter period of time. But global growth outlook is not going negative but it's slowing, and I think people adjust their capacity plans accordingly. And Tom, would you want to comment about what we're seeing in China?
Thomas Gustave Kadien: Yes, Chip, clearly, we read and we buy from some of the folks who've slowed up the capacity expansions. I think as a buyer of recycled containerboard over there, I don't think their slowing regional capacity is going to impact the market that much. I mean frankly, the biggest suppliers over there have been taking downtime and slowed back for quite a while. I mean, there has been excess capacity in containerboard, but they're managing supply and demand pretty well. So I think what we're more sensitive to when we've seen a little bit of price coming down in the recycled containerboard is the OCC price when it goes into China. And that's probably -- has more impact on pricing of containerboard in China than on the machine slowback, although certainly, that's probably a good thing for the market overall.
Chip A. Dillon: Got you. Okay. And then shifting gears, it may be a little early, and I'm not sure if this is for Tim or Carol, I'll let you guys decide. But you all had entered 2009, as you know, with I think something like a $7 share underfunded pension position, and you'd done a lot of hard work on getting that down. And I guess given that the long-term corporate rates are down a bit, and hopefully this market keeps going up on the asset side, but any early look as to how you think the funded position might look at year-end, and what your change in the expense will be for next year? And if you cover that, I apologize you're dueling calls here.
Thomas Gustave Kadien: No, no, no, we haven't covered it. So I mean basically, we'll update all of those with harder numbers when we report fourth quarter. But I mean you've seen the volatility both on the asset side and on the interest rate side. And so if we market today, we would have a larger gap than we had at the beginning of the year, and I don't think that's a big surprise to anyone. It's still manageable and we still feel very confident about how we're managing our pension assets. And we'll update you in the fourth quarter, but you can -- I think it's pretty reasonable to assume that there will be -- not to the degree we did last year with the $1.2 billion contribution that we made, but there'll be additional contributions on a smaller scale that'll get made over time.
Chip A. Dillon: After the first of the year is what you're saying, right?
Thomas Gustave Kadien: Potentially, yes.
Chip A. Dillon: Okay. Got you. And then the last one. Just so we're all in the same page, you mentioned the Ilim charge because of the currency, the ruble, is that something that when you report you'll count as a special item? Or is that something that will kind of flow through as a normal item?
Mark Stephan Sutton: No, it'll flow through as a normal item.
Chip A. Dillon: Got you.
John V. Faraci: The flagship will get the -- will also flow through as normal item is the benefit of that as we sell pulp in U.S. dollars going forward.
Thomas Gustave Kadien: Yes. I mean we don't -- the joint venture, and it would really be for the joint venture to do, they don't really hedge currency because there is a natural hedge in terms of the dollar denominated sales that John just mentioned. So you get some of these short-term dislocations in terms of currency movements. But longer term, we like a weaker ruble because of the margin benefit.
Chip A. Dillon: And just to be -- so we're on the right path, obviously, you're reporting the operations on a one quarter lag. Does the adjustment for the currency also happen on a one quarter lag or is that more concurrent?
Thomas Gustave Kadien: It does. That's why I was pointing it out. It actually happened in their third quarter, which will be reported on our fourth.
Chip A. Dillon: Got you.
John V. Faraci: We know what the number is.
Operator: Your next question comes from the line of Mark Weintraub of Buckingham Research.
Mark A. Weintraub - Buckingham Research Group, Inc.: First, just quickly following up on the currency in Ilim. But presumably, after you see that hit in the fourth quarter, that essentially goes away? And so essentially, the Ilim report earnings would then be up by that $55 million the next quarter, is that the way to think of it?
Thomas Gustave Kadien: Well, you wouldn't have the $55 million -- assuming no movement, you wouldn't have that charge. That's right.
Mark A. Weintraub - Buckingham Research Group, Inc.: Right. Okay. And I know it's kind of petty, but is that an after-tax -- the $55 million, is that the way you're going to run it through your -- the P&L or...
Thomas Gustave Kadien: Right. Because we report it on an equity accounting basis. So, yes.
Mark A. Weintraub - Buckingham Research Group, Inc.: Okay. And then lastly, you're talking a little bit about OCC waste paper. Where are those costs now and do you have any insights as to where they look like they're trending through the balance of the quarter?
Carol L. Roberts: Mark, this is Carol. Yes, they're trending down some, and I really think that's a result probably less of the U.S. phenomenon because as we look at operating rates at U.S. mills, they've been running fairly strong. And although the OCC mills are going to be the higher-cost mills so there'll be some pulling back of OCC there. I really think it's probably more of a China effect of just slowing down of a point in time. So they are trending down some. Boy, if I could predict OCC prices out 3, 4 months, that would be a great crystal ball. I don't have that. But I do think they're trending down, and we'll just see where they go.
Mark A. Weintraub - Buckingham Research Group, Inc.: And can you guys say where are they today versus say the third quarter average?
Carol L. Roberts: I would probably not comment on it today because folks are going to publish in a few days and I might get it wrong because it's unclear. But I would say that it's going to definitely move down from October to November.
Operator: Our last question will come from the line of Mark Wilde of Deutsche Bank.
Mark Wilde - Deutsche Bank AG, Research Division: I wonder if we could go back to Brazil for a minute or 2. I think that you've got that decision to make on the second machine down there, at some point. I wondered if you could just update us on that, particularly in light of the strength of the currency down there. And then also talk to us about any plans or thoughts about being in the Packaging business in Brazil or elsewhere in Latin America?
John V. Faraci: Well, I'll let Mark Sutton talk about the second paper machine, and then I will just comment about packaging markets.
Mark Stephan Sutton: Mark, we have a couple of years before we have to make the final decision on that additional capacity. And obviously, the way we're thinking about that is based on market growth and the other dynamics on how that market's served if we need the additional capacity for not only Brazil, as John said earlier, but for the greater Latin American region, that would be an attractive thing for us to do. But we do have a little more time on that and we're monitoring the market. The currency is obviously a factor, but we would make a decision like that obviously for the long-term.
John V. Faraci: And I think that's the important point, Mark, as Mark Sutton said about the long term. This would be a 20-year investment, so you don't want to make it just on the spot currency at a point in time and currency in Brazil then from $1.50 to $3. None of them are smart enough to figure out what it's going to be in 2025, but the investment we make will be around in 2025. So we could be dealing with that, as the time comes. From our packaging perspective, we will have a stronger packaging presence in Latin America with Mexico. We've got one box plant in Chile. We like to be in the packaging business, both in bleached and unbleached packaging in Latin America, and if the right opportunity against all that valuation and create value for International Paper, we'll consider it. If it's not the right valuation, it's a place in the world we'd like to be but won't be.
Mark Wilde - Deutsche Bank AG, Research Division: Okay. And John, can we just -- with what Tom Kadien is working on now in India, you've kind of -- you're hitting all the bricks at this point. And I wondered if you could just give us thoughts on how you'll allocate capital in all of those different countries? And then when we think about your CapEx budget, how much of that is really going to be focused, just in ballpark terms, in the U.S. and Western Europe? And how much of it will be allocated to some of the emerging markets that you're in?
John V. Faraci: Well, that's a very good question, and I think we've talked about a balanced allocation of cash and that includes our approach to CapEx and we're going to continue the balanced allocation of cash. Cashback to shareowners, cash reinvested in our existing business, a strong balance sheet and selectively reinvesting. Russia is a great example of being able to do that aggressively on -- not on IP's balance sheet, but on the joint ventures which have got that capacity. India, we're going to need to get in there and figure out how to grow with the market, both in paper and packaging. And we're going to continue to spend only on cost reduction in North America. And on regulatory capital, we've got some of that coming down the pipe with Willamette. So we are going to force -- there's going to continue to be capitalizing in IP and we're going to skew the capital to where we think the strategic investment's ought to be made, but we'll keep our North American -- the right assets in North America competitive and modern, and I think we've been able to do that with this $1 billion spending over the last couple of years and going forward for the next couple on average. With Temple, we've got a little more capital spending, so we'll be updating you on kind of the next 5 years how you should think about CapEx relative to depreciation. But in some places of the world, it'll be a lot higher, in some places of the world, it'll be a lot lower. Okay. Well, listen, let me just wrap it up by saying International Paper's pretty pleased about the fourth quarter. It was on flat revenues. It was -- third quarter, rather, quite strong relative to where it had been. And we're pretty positive, I'd say, quite positive how we're looking at it in 2012 even though the macro environment kind of feels to us like it's going to be more of the same. But with what we have on our plate, we think International Paper's best days are still ahead of us. So thanks for tuning in on the call, we'll talk to you next quarter
Operator: Thank you for participating in the International Paper's Third Quarter 2011 Earnings Conference Call. You may now disconnect.